Operator: Greetings and welcome to Intrawest Resorts Holdings First Quarter Fiscal 2015 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) I’d now like to turn the conference over to your host Ms. [Liz Derosier] Manager of Investor Relations for Intrawest. Thank you Ms. Derosier, you may begin.
Unidentified Company Representative: Thank you, Doug. Good afternoon everyone and welcome to the Intrawest Resorts Holdings fiscal 2015 first quarter earnings conference call. After our prepared remarks, there will be a brief question-and-answer session. I’d like to remind you that some of the comments made by management during the fiscal call contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filings filed with the SEC including reports filed under the Securities Exchange Act of 1934. We caution you not to put undue reliance on forward-looking statements. Forward-looking statements made during this call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures, such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income, for other GAAP measures, management believe adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K dated November 10, 2014. This and the presentation that accompanying today’s call are located in the Investor Relations area on our website at www.intrawest.com. Our call today will include formal remarks from Bill Jensen, Chief Executive Officer; and Gary Ferrera, Chief Financial Officer. Travis Mayer, Executive Vice President of Operations & Business Development will be joining us for the question-and-answer session. Now, I’ll turn the call over to Intrawest CEO, Bill Jensen.
Bill Jensen: Thank you Liz and welcome everyone. I’m happy to report that it’s snowing today in Colorado and every time it snows in Colorado we get very excited. We’re pleased with our fiscal 2015 first quarter results and we’re excited about the upcoming 2014, 2015 ski season and look forward to realizing the full benefits of now owning 100% of Blue Mountain Ski Resort. Total reportable segment revenue for the quarter increased 7% to $74 million from $69.2 million primarily due to the Mountain Segment. Mountain Segment revenue in the quarter grew 9% driven by summer activities, lodging, food and beverage and retail and rental revenue as well as the inclusion of revenue from Blue Mountain. Blue Mountain’s vibrant summer business, 100% of which was included in our results for the 12 days beginning September 19, positively impacted Mountain Segment revenue by $1.3 million accounting for almost half of the 9% growth in the quarter. Lodging growth is driven by both volume and price primarily at Tremblant and Stratton. Tremblant hosted several large events this summer including multiple festivals and an Ironman competition each attracting several thousand visitors. We plan to continue to build upon the success of these events at our resorts going forward as part of an ongoing effort to drive greater summer visitation and revenues. Stratton benefited from the newly renovated Black Bear Lodge property completed last fall. The Black Bear Lodge renovation represents another successful capital project and illustrates our continued focus on high return investments at our resorts both for winter and summer operations. Our adjusted EBITDA loss for the quarter was favorable to our expectations while the Mountain Segment produced a loss for the quarter as the resorts do not open for ski operations until mid-way through our fiscal second quarter the adventure and real estate segments both generated positive EBITDA. Since our year-end earnings call, we successfully completed the acquisition of the remaining 50% of Blue located about 90 minutes north of Toronto in the Province of Ontario which we closed on September 19th. We are now in the process of fully integrating Blue Mountain into our family of resorts and are already recognizing some of the synergistic benefits of full ownership. Just recently, we launched a new joint frequency product between Mont Tremblant located in the neighboring province of Quebec and Blue Mountain. We expect this product to leverage Blue’s large base of Toronto customers to attract new visitors to Tremblant and increase our base of pass holders across the second and third most visited resorts in Canada respectively. We also anticipate that Blue Mountain will enhance our summer business going forward. Blue has a large space of rooms that contributes to lodging revenue and also offers a variety of popular summer activities including a newly expanded conference center and 18-hole golf course Ontario’s first alpine coaster, mountain biking, a waterfront park. Looking forward to the fiscal 2015 ski season, since our Last call, Season Pass and Frequency product sales continue to pace well ahead of last year. As of November 02, Season Pass and Frequency product sales were up approximately 20% compared to the same time last year driven by a 14% increase in units and a 6% increase in yield net of our estimated payments to our partner resorts. The approximate 6% increase in yield is consistent with our strategy for the upcoming season as we focus on increasing both visitation and price following the strong volume growth in the prior year. While we’ve experienced Season Pass and Frequency product growth at all of our resorts, Colorado Season Pass sales have been especially strong. We believe the significant growth in Colorado demonstrates the value of our product offerings and the benefits of our strategic alliances allowing guests more days of skiing at not only our own resorts Winter Park and Steamboat that also at our partner resorts Copper Mountain, Crested Butte and Eldora Mountain. We also reentered the market with the Intrawest Passport during our first quarter and enjoyed continued success. We are pleased with the demand for this new six resort frequency product and believe that will drive destination business across all of our resorts this season by operating guest the opportunity to ski 6 days at each. While it is still early in the booking cycle, we’re also seeing lodging booking stays ahead of this time last year. Booking trends for the important two week Christmas and New Year’s holiday period this season are especially encouraging up approximately 20% as compared to the same time last year with our eastern resorts leading the growth. For the entire 2014-2015 ski season, our bookings are currently pacing approximately 8% ahead of the prior year. CMH bookings for the fiscal 2015 season also continue to be a positive early season indicator. Winter guest night sales were up approximately 9% compared to the same period last year as demand remains strong for our premium price products including small group trips and private lodges. On the heels of our successful fiscal 2014 debut of the Four Points restaurant at Steamboat, we are excited about unveiling Winter Park’s new on mountain restaurant Lunch Rock. The 16,000 square foot restaurant is complete and on track to open in early December. As we head into the busy season at our resorts we remained focused on executing on both our short and long term growth strategies. Having successfully executed on our volume based organic growth strategy in fiscal 2014, we are targeting both price and volume increases in fiscal 2015 to yield even greater flow through. We believe our ability to leverage fixed cost and infrastructure to expand margins should enable us to achieve organic adjusted EBITDA growth of between 8% to 10%. Lastly, we remain active in our pursuit of strategic acquisitions while also evaluating opportunities to unlock the value of our resort based real estate holdings. I’d now like to turn the call over to Gary, for a more detailed discussion of our segment operating results.
Gary Ferrera: Thank you Bill and good afternoon everyone. In the first quarter of fiscal 2015 ended September 30, total reportable segment revenue grew 7% to $74 million as compared to prior year period and segment adjusted EBITDA loss with $20.1 million. $1.3 million in the reportable segment revenue growth and $300,000 of the EBITDA loss were due to including a 100% of Blue Mountain for the 12 days beginning September 19. Prior to the acquisition, our financial do not include any revenue from our 50% equity interest at Blue Mountain. While our adventure and real estate segment both generated positive EBITDA, the Mountain segment which is our largest segment has historically produced a loss in the first quarter. Our adjusted EBITDA loss for the quarter, while favorable to our expectations was larger than the prior year period primarily due to higher corporate cost and decreased U.S. firefighting revenue. Corporate cost increased primarily due to strengthening our public company infrastructure including additional headcount in third party IT services. As compared to the first quarter of the prior year, the Canadian dollar weaken by approximately 4% versus the U.S. dollar, negatively impacting total reportable segment revenue by approximately $2.1 million. However, the impact on adjusted EBITDA was minimal. Turning to our segment results; Mountain segment revenue increased 9%, $36.3 million. Going into little bit more detail, lodging revenue grew 14% due to increased revenue per available room primarily at Tremblant and Stratton as well as from the addition of Blue Mountain, which contributed incremental 500,000 of lodging revenue. Food and beverage revenue grew 16%, $7.4 million, benefitting from an increase in group business including wedding and banquets and from owning a 100% of Blue Mountain which contributed 400,000 food and beverage revenue. Retail and rental also produced notable revenue grew of 10.2% to $6.2 million primarily as a result of an increase in bike rentals and timing of certain annual summer sale. Winter Park’s Trestle Bike Park, the second largest downhill mountain bike park in North America operated additional week in September versus the prior year period to meet increased late fees in demand. Bike rental and sales at Winter Park benefited as a result. Mountain adjusted EBITDA loss was $24 million versus $22.1 million in the prior year period primarily due to a $1.2 million increase in allocated corporate cost related to public company expenses. In the Adventure Segment, we only open one lodge for summer heli-hiking operations at CMH versus two lodges in the prior year in order to remodel Bugaboo Lodge an anticipation of the 50th Anniversary winter season. As a result CMH revenue was down by $1.1 million. As anticipated, adventure revenue also decrease due to a reduction in the U.S. firefighting revenue. This was offset by an increase in revenue from our maintenance, repair and overhaul operation as a result of acquiring an additional MRO facility in August of the prior year period, as well as an increase in revenue from our interest in Alpine Helicopters. In total, Adventure Segment revenue for the quarter was flat versus the prior year. Adventure adjusted EBITDA was $2.1 million versus $3.7 million in the prior year. This is primarily due to the previously mentioned decrease in U.S. firefighting activity and the lower margin MRO services. In the Real Estate Segment, revenue increased 13.7% to $15.1 million and real estate adjusted EBITDA grew 18.3% to $1.7 million mainly as a result of additional payments on finance sales of points on our vacation club business and increased occupancy as the Westin Monache in Mammoth Lake, California. The company’s net loss attributable to the Intrawest Resorts Holdings improved significantly in the first quarter of fiscal 2015 to $51 million versus $122 million in the prior year period. Largely as a result of lower interest expense due to our restructuring and refinancing in December of 2013. Capital expenditures for the three months ended September 30, 2014 were $15.1 million versus $14.3 million in the prior year period. The increase in CapEx was attributable to several growth capital projects including the new Lunch Rock restaurant at Winter Park. I’d like to now reiterate our guidance for fiscal 2015, that guidance includes reportable segment revenue in the range of $570 million to $595 million. And segment adjusted EBITDA in the range of $111 million to $116 million. Relative to the prior year, this includes approximately $4 million in incremental public company expenses and $1.5 million in software expenses related to compliance in e-commerce technology. Canadian to U.S. dollar exchange rate average 109 in the fiscal first quarter and it is currently at approximately 114. Our fiscal forecast assumes an exchange rate of Canadian to U.S. dollar of 110. We expect the net loss attributable to Intrawest Resorts Holdings for fiscal 2015 will improve to be in the range of 16 million to 6 million. Going forward, on an annual basis including Blue, we expect to spend approximately $33 million to $34 million of maintenance capital and between $8 million and $12 million on growth capital. Capital spending at our Mountain Resorts picks during the summer period that’s travels our fiscal year end which may result in timing variances across fiscal years. I would also like to reiterate that our business is seasonal as the Mountain Segment is expected to be the largest growth driver of our operation a higher proportion of adjusted EBITDA is expected to come from the fiscal third quarter, which we estimate will account for more than 140% of total fiscal 2015 adjusted EBITDA. With that I’d like to turn the call back over to Bill.
William Jensen: Thank you, Gary. We’re excited about the upcoming skiing season and the continued success of our Season Pass and Frequency programs. With the acquisition of the reaming 50% of Blue Mountain and the opening of the new on-mountain restaurant at Winter Park, the fiscal 2015 ski reason represents an exciting time for Intrawest. As we look ahead to our two most important quarters, we remain focused on providing memorable experiences to our all our guest and delivering value to our shareholders. And with that operator we’d be happy to take any questions.
Operator: Thank you. Ladies and gentlemen at this time we will be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Shaun Kelley with BAML. Please proceed with your question.
Shaun Kelley: Great. I’ll just lead up with a couple of questions on the Season Pass and Frequency product sales. So it sounds like the volume growth was very significant as the work closer to be end of the preseason selling period. So could you just remind us by this time typically how much of your Season Pass revenue you really have on the books going into the season?
Bill Jensen: Generally we’re little bit over two thirds of the way through the Revenue at this time of the year and so I kind of look at it as we’re in the final period of that selling process that goes right up to the Christmas holiday period.
Shaun Kelley: Great, so you kind of answer the second which you keep the sales one to open all the way up until Christmas pretty much?
Bill Jensen: Just before Christmas, just before we get into that destination market that comes at Christmas time which this year will be about a four week earlier than the Christmas holiday itself.
Shaun Kelley: Excellent, my second question is just as it relates to mix so with your units up so much as we -- it does sound like you’re getting pretty solid price increases on products right now but as we kind of move to the season, what’s your expectation in terms of how kind of increase usage particularly some of the maybe the resorts on the East Coast. I think last year for instance West Virginia was a bit of a drag on your total I think your mix. My question is just, how do you kind of think about increased usage of Season Pass with your units up impacting your mix and your ETP as we kind of see it in the model, we see it progress through the actual ski season?
Gary Ferrera: As I mentioned on the call, our Season Pass and Frequency products sales were up at all of our resorts but I think the important pieces that are up significantly in Colorado. And in Colorado first of we command a higher price and a higher yield per visit, we’ve a long history utilizing that Season Pass in Colorado and basically we know the utilization runs from 9 to maybe 11 point some days per pass holder and we don’t anticipate any significant change in that utilization. So, despite given the fact that we’ve actually sold more passes in Colorado at higher price points than we did last year, we expect the utilization to be similar and that we would be able to capture the yield increase on a ETP per visit basis.
Operator: Our next question comes from the line of Afua Ahwoi from Goldman Sachs, please proceed with your question.
Afua Ahwoi: Thank you, hi guys. So just two from me, first of all, when you give especially some of the trend you’ve given through December the holidays. Is that on the same store basis so excluding the impact of having Blue as a 100% or if not could you give other same store impact? And then also I assume a little bit on Shaun’s point but I assume given where closer into the end of the selling season that is because as I’m looking at some of your trends versus what you said in Q4, you said first you were up north of 20% now it’s 20% too, is some of that sort of deceleration just a function of your latter in the selling season? Thanks.
Bill Jensen: First, the answer to your first question Afua, the lodging increases are same store and do not include Blue. So it’s a real increase in bookings for that two week Christmas period. I would say that our Season Pass sales we said up approximately 20% might be a couple of decimal points higher than that so I would say that through this period from our fourth quarter the consistency of sales has stayed.
Afua Ahwoi: Okay, got it. And then I guess just one final one I know you got mentioned in that sort of the revenue was definitely much better than we were looking for I know you said the EBITDA was also a little bit ahead of your plan but I know you never shared your plan externally but at least based on sort of the our internal numbers was maybe just a million or so short. So, maybe as you think about some of the models you saw, can you help us walk through maybe where some of that [indiscernible] or maybe even share with us where your internal plan was if that’s possible? Thanks.
Gary Ferrera: Yes Afua, this is Gary. We’re not going to give our internal plan out I would just say we were comfortable with the number came out probably we’re little slightly ahead of where we were looking but we’re not going to give any more specific.
Operator: Our next question comes from the line of Joel Simkins from Credit Suisse. Please proceed with your question.
Joel Simkins: Yes, hey guys, good afternoon. Bill, you mentioned at end of your closing comments there so just conversations about continuing to find ways to monetize the real estate book, can you just give us anything new in that regard that you’re pursuing?
Bill Jensen: I think as you guys, no most people know the majority of our real estate value sits at Tremblant and Steamboat and Winter Park and we’re actively looking at opportunities at each of those resorts. Again, we’re looking at projects that could be scalable to kind of ascertain market demand and market interest. So, we continue to move forward on that, we seem to see that the interest in Tremblant seems to be picking up a bit which we view as a positive and we’re looking at some opportunities smaller opportunities, bigger opportunities at Winter Park as well as trying to really understand product and what the market is seeking there given the strength that we see here in the Denver market the economic strength, the housing market and the access to Winter Park which is basically 75 minutes away. We see that as potentially a near term opportunity to kind reinvigorate some real estate activity.
Joel Simkins: Sure. And you mentioned just obviously the strong Season Pass trend at this current point. Is there any certain, are there any particularly geography stronger than others as is it sort of allocated to the destination facilities or you’re seeing strength across the board putting some of the regional East Coast assets.
Gary Ferrera: We are certainly seeing increases across all of our resorts but as I mentioned in the my comments Colorado is really very strong and the increases we see here are very encouraging for us primarily because it demonstrates that we’re providing a product to this market that the market is responding with real strong demand and we’ve been able to take several price increases as we work through the sales cycle and we see that is a positive as demand has not diminished at least to this point for the product.
Operator: (Operator Instructions) Our next question comes from the line of Joe Edelstein from Stephens Inc. Please proceed with your question.
Joseph Edelstein: Just wanted to ask a question on Blue Mountain I don’t recall you’re assuming any revenue or even expense synergies through that deal or maybe you can just correct me if I’m wrong on that. But it did sound like you now a joint product that you’re working on so I was curious if you have a sense for how large the revenue opportunity might be, maybe that’s too early at this stage at this point but even just commenting on customer databases or kind of helping us get a sense for how much cross over you might have there.
Bill Jensen: I guess my response is Toronto is a very strong scare market, scare population and Blue certainly is in our view the leading resort in resort market there. But we also know that Toronto residence like the travel to ski and we know historically that Tremblant is an attractive destination for them as well as Colorado and opening a 100% of Blue really allows us to leverage Blue Mountain’s database in our relationship where we only on 50%. We weren’t able to take advantages of the synergies that data base and as Blue held that database close and now that that’s been opened up us. It really provides some significant marketing opportunities. The other thing that we know is in our passport sales, the passport frequency product this year Toronto has been a market that has had real strong uptake of that product. And again because it’s a destination focused product we anticipate that we will see Tremblant will probably be the most favorite destination but we also see Colorado as offering significant value to the people that buy product. So we think there is some real opportunities and then as I said in my comments about the synergies on the cost side we’re confident that we’re going to be able to recognize some of those synergies on the cast side of the year in fiscal year ‘15.
Joseph Edelstein: That’s very helpful. I was hoping you could also give us the sense for what the broader M&A market looks like today I’d be curious how your pipeline looks now maybe compared to how it was a near ago and this would be excluding Blue Mountain of course but I’d be very interested to hear that as well as your general sense of overall valuations within the market if we’re seeing any movement that?
Bill Jensen: I think our focus is still very strategic with two specific targets for near-term acquisition growth one is the Northeast to build upon our base there the second would be Colorado. We’ve been active in both of those markets talking with different resorts I would emphasize nothing is eminent at this point. But there have been fruitful conversations but also because we’re acted in the market I think the Blue acquisition helped us that people see that we’re in acquisition mode. We’ve demonstrated we’re in acquisition mode. We also tend to see information of resorts outside of those two prime strategic markets that we look at. So I think we’re getting a pretty broad perspective on the market. As we talk to our investors our target is really resorts that fall on the $4 million to $10 million EBITDA range and as we discussed we acquired 50% of Blue we didn’t own for about seven multiple of trailing fiscal ‘14 EBITDA. We like to believe that valuation for at least the operating side of mountain resort business depending upon its location and how strategic it is in the market. We probably fall in that seven to perhaps eight times EBITDA range certainly trophy properties with much more significant either market share or market dominance would command a higher EBITDA.
Operator: This concludes our Q&A session, I’d like to hand the call back over to Mr. Jensen for closing comments.
Bill Jensen: Thank you Doug and thank you everyone for taking the time to join us on our fiscal 2015 first quarter call and we look forward to speaking with you again soon. Thanks everyone.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation.